Operator: Good day. My name is Jess, and I will be your conference facilitator. I would like to welcome everyone to Aeva Technologies First Quarter 2025 Earnings Conference Call. During the opening remarks, all participants' will be in a listen-only mode. Following the opening remarks we will conduct a question-and-answer session. As a reminder, today's conference call is being recorded and simultaneously webcast. I would now like to turn the call over to Andrew Fung, Senior Director of Investor Relations and Corporate Development. Andrew, please go ahead.
Andrew Fung: Thank you, and welcome, everyone, to Aeva's first quarter 2025 earnings conference call. Joining on the call today are Soroush Salehian, Aeva's Co-Founder and CEO; and Saurabh Sinha, Aeva's CFO. Ahead of this call, we issued our first quarter 2025 press release and presentation, which we will refer to today and can be found on our Investor Relations website at investors.aeva.com. Please note that on this call, we will be making forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect our views only as of today and should not be relied upon as representative of our views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a further discussion of the material risks and other important factors that could affect our financial results, please refer to our filings with the SEC, including our most recent Form 10-Q and Form 10-k. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Aeva's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. The webcast replay of this call will be available on our company website under the Investor Relations link. And with that, let me turn the call over to Soroush.
Soroush Salehian: Thank you, Andrew, and good afternoon, everyone. It continues to be an incredibly exciting time at Aeva with our commercial momentum accelerating across a larger range of applications. While we continue to make strong progress in automotive, including on the Daimler Truck Production Program as well as the Global Top 10 Passenger OEM Development Program, where we have already achieved the first key milestone. Aeva's mission from inception has been to build a core FMCW technology platform to bring perception to a broad range of applications beyond just automotive. And in Q1, we delivered a number of accomplishments that further realized that mission. In industrial automation, we unveiled the Eve 1 line of high precision sensors, which we believe can have the potential to be breakthrough for the $4 billion per year laser displacement sensor market. Eve 1 utilizes our CoreVision LiDAR on chip module to deliver sub micron precision that is more reliable and flexible at a lower cost and size than current solutions in the market. This level of precision enables Aeva to go beyond LiDAR as the industry has known it until now and provide an offering that can have the opportunity to accelerate our growth into new industrial automation markets because of our differentiated FMCW technology. We are seeing strong commercial traction with Eve 1 already, including securing multiple industry leading industrial automation companies as our first strategic customers and with orders of over 1,000 sensors booked and plan to ship later this year. Aeva also entered into a new market, Intelligent Transportation System or ITS with Sensys Gatso, a leader in traffic enforcement solutions selecting Aeva as its exclusive LiDAR supplier for its new mobile speed detection products in Australia. Aeva was selected because of 4D LiDAR's ability to provide accurate velocity measurement for speed verification. We are seeing increasing interest from other leaders in the ITS market as well, as well as infrastructure monitoring segments, and we plan to respond to this market with our existing sensor suite, but with fine tuned perception software specific to this market segment. Importantly, our momentum is opening new strategic opportunities to Aeva that we believe further validates our technology platform and market leading FMCW performance as we scale an existing market segments such as automotive and industrial and enter new ones. Earlier today, we announced a strategic collaboration with a Global Fortune 500 company technology subsidiary, who plans to invest up to $50 million in Aeva and together partner to help expand Aeva's end markets and deliver advanced perception sensing products across multiple market segments, including in consumer electronics, industrial and automotive. This leading technology company sees significant growth potential for Aeva's perception platform adoption across many applications and believes our FMCW solution provides a strong path to penetrating multiple market segments with mass deployment. We're also selecting this company as our Tier 2 manufacturing partner for the top 10 passenger OEM program previously announced. We believe this new partnership will help further enhance our position for the broader mass deployment across future generations with the global top 10 passenger OEM development program. So in summary, we have accomplished a lot in a short few months and there is much more ahead for Aeva. We have never been in a stronger position to continue executing on this significant interest in Aeva's unique FMCW technology. Let's now discuss in more detail our recent business developments. I'm excited about Aeva's major expansion in the precision sensing market with the Eve 1 line of high precision laser displacement sensors. Like our automotive solutions, Eve 1 is powered by Aeva's CoreVision LiDAR on chip modules, but specifically designed for high volume and inline industrial automation applications such as factory and process automation. As the industry's first FMCW based displacement sensor, we believe Aeva's Eve 1 represents a breakthrough for industrial sensing. It brings a number of major performance, size and cost advantages versus current solutions that primarily use the laser triangulation approach. For example, Eve 1D sensors are designed to measure down to sub micron precision and due to the coaxial measurement can operate across a wide range of target standoff distances all the way up to 200 meters, all within the same compact and all in one form factor that combines measurement and data processing. And because of FMCW's immunity to interference from other sources of light, our sensors can maintain this high-level of precision in a wide range of operating conditions. These advantages allow for faster, more precise inspection, giving customers high levels of throughput, improved quality control and better cost efficiency in the manufacturing processes. We are very encouraged by the significant commercial momentum and positive feedback we are already receiving with leading industrial automation companies due to our sensors' ability to address many of the shortcomings of traditional triangulation solutions. We have already signed on multiple strategic customers, including SICK AG and LMI Technologies. These customers are leaders with more than 15% of the market share and volumes close to over 300,000 units per year just for these high precision sensors. Our first orders of over 1,000 sensors are already booked and our initial shipments to select customers have already started. Given the strong reception of the market, we're working on ramping up our capacity to meet the growing demand for our Eve 1 sensors with our existing manufacturing partners. In addition to our strategic first customers, we are engaged with multiple other leaders in this large but concentrated marketplace, where the top five participants represent around 60% of the market. The overall addressable market for these laser displacement sensors is greater than $4 billion today with annual volumes of more than 2 million sensors. It is projected to grow meaningfully as laser displacement sensors are redefining precision manufacturing and quality control in automated production environments across many industries. From positioning during manufacturing to inspection of a wide range of components and products such as PCBs, metal sheets or tire threads to even packaging, laser displacement sensors are increasingly utilized in numerous factory and process automation applications. And because of Aeva's ability to directly measure velocity, we believe our technology will open up new capabilities that bring the possibility to expand the use of Aeva sensors across the industrial precision market. We are already exploring with existing customers to leverage this capability. Aeva is uniquely positioned for the high precision sensing market due to FMCW's ability to achieve the needed micron level precision that is not possible with time-of-flight LiDAR. From metrology applications with Nikon to displacement sensors with SICK AG and others, we see significant opportunity to continue growing in the large industrial robotics and factory automation market, leveraging our CoreVision LiDAR on chip module and our proprietary precision algorithms for the industrial applications. Let's now move to an update on our progress with the global top 10 passenger OEM. We have officially kicked off our development program with the OEM and have already achieved the first milestone centered around integration. As we announced back in March, this OEM has selected Aeva for a LiDAR development program for its next generation global production vehicle platform, where we are jointly working closely on development and integration of Aeva's Atlas Ultra 40 LiDAR for use across a broad range of OEMs global line of passenger vehicles. This is effectively the first development phase of the serial production program. As you may recall, in addition to the development program, we also secured a letter of intent from this OEM toward the series production program award. We expect that upon successful completion of the development program, which is expected later this year, the engagement will transition to a large scale global production program opportunity for Aeva. We're highly encouraged by the strong start to the development program and believe the overall progress we continue to make positions us well for the OEM's serious production work. I would now like to discuss the new strategic collaboration that we announced earlier today. Our partner will invest up to $50 million in Aeva through a combination of $32.5 million in Aeva common stock and up to $17.5 million in new joint product development revenue as well as capital investments to bring production capacity online for Aeva's next generation solutions across automotive, industrial and consumer applications. As part of this, the partner will take an approximately 6% stake of equity in Aeva. With our strategic partner, we plan to accelerate Aeva's product roadmap in industrial and expand into new consumer application end markets utilizing our partners' global manufacturing expertise and electronics innovation. As part of the agreement, Aeva will also select this company as our Tier 2 manufacturing partner for the global top 10 passenger OEM program. The OEM has extensive experience working with our strategic partner and our partner's decision to invest and partner with Aeva as a major vote of confidence in the performance, maturity and scalability of our LiDAR. We believe this further positions Aeva to successfully transition our development program with the OEM into the series production phase. More broadly, this strategic collaboration marks another significant validation from a highly respected technology and manufacturing leader that Aeva's differentiated FMCW tech is a future for the industry. The company sees significant potential for our LiDAR to bring new levels of perception across many applications. They have significant experience with LiDAR as well as have extensively evaluated all other LiDAR solutions. The decision to invest in Aeva and partner on joint development was driven by our partner's view that a scalable high performance FMCW LiDAR is key to enabling broad deployments of perception solutions across multiple use cases and multiple end markets, not only in automotive, but also industrial and across consumer markets as well. We are incredibly excited about this new strategic collaboration. In the coming months, we plan to name the partner and both companies plan to jointly provide more details about our new partnership. We look forward to jointly leveraging our respective strengths and to accelerate the adoption of Aeva's technology across a broad range of markets and applications. Turning now to Aeva's recent entrance into a new market, Intelligent Transportation Systems or ITS. This is an area where there has been growing adoption of LiDAR to enable safer and more efficient roadways and other modes of transport. Sensys Gatso recently selected Aeva as the exclusive LiDAR provider for its new mobile speed detection products in Australia. Our 4D LiDAR's velocity measurement will provide speed verification to help address speeding problems and improve road safety at high risk locations. Sensys Gatso is a global leader in traffic safety enforcement solutions. Besides Australia, the company's solutions are in 60 countries with more than 60,000 deployments globally. Initial deployments of Aeva sensors in Australia have begun and we look forward to supporting additional deployments in that country and exploring with Sensys on rollouts in additional markets. Aeva has also engaged on a number of other ITS opportunities besides Sensys Gatso and are making strong progress on expanding in this area. With that, let me now turn the call over to Saurabh, who will share our financial results.
Saurabh Sinha: Thank you, Soroush, and good afternoon, everyone. I would now like to discuss Aeva's first quarter 2025 financial results. Revenue in Q1 was $3.4 million. While still early in our commercialization, this was a record product revenue in the quarter and reflects the continued growth in commercial traction from automotive and industrial customers. The NRE revenues are driven primarily by the Daimler Truck program. Q1 non-GAAP operating loss was $25.9 million, which is 19% lower year-over-year. This is consistent with our plan to reduce non-GAAP operating expense by 10% to 20% on a full year basis. Gross cash use was $31.3 million in the quarter, comprised of operating cash use of $30.8 million and capital expenditures of $0.5 million. Typically, our Q1 cash use is higher compared to rest of the year, driven by timing of payments and working capital. We finished Q1 with total available liquidity of $206 million, which includes $81 million in cash, cash equivalents and marketable securities and $125 million in undrawn facility that is fully available to draw at Aeva's sole discretion. This liquidity position does not reflect our new strategic collaboration with a global Fortune 500 companies technology subsidiary. We anticipate closing the $32.5 million equity investment portion in the coming months, pending regulatory review and satisfaction of customary closing conditions. As we demonstrated in Q1, we remain thoughtful in how we invest. We believe we can scale manufacturing while continuing to win additional business and lower total spend. And with our increasing commercial momentum across the board, we now have added confidence to increase our revenue range to at least by 80% to 100% growth on a full year basis compared to 2024. This does not yet incorporate the strategic collaboration announced today and we look forward to provide an update at our Aeva Day as Soroush will share later. Now let me hand the call back to Soroush, who will provide closing remarks.
Soroush Salehian: Thank you, Saurabh. Aeva is off to a very strong start in 2025 and I'm pleased with our progress. We continue to believe that we are at an inflection in our commercial momentum as we make significant progress with the global top 10 passenger OEM and secure major customers across an expanding list of applications from automotive to industrial automation and most recently ITS. With our new strategic collaboration with a global Fortune 500 company, we are in an even stronger position to accelerate the adoption of our differentiated technology platform to global scale and enter new markets. There is indeed a ton going on at Aeva and we are just getting started. I am pleased to share that later this summer on July 31, we plan to host an Aeva Day in New York City, where we will dive deeper into our unique technology, commercial traction, including with our customers and partners and overall outlook for the company. Please stay tuned for more details to be shared in the coming weeks. In closing, I'd like to thank the Aeva team for delivering our amazing accomplishments in this quarter and to all of our stakeholders for their ongoing support. And with that, we will now move on to Q&A.
Operator: Thank you. [Operator Instructions] We will move first to Colin Rusch with Oppenheimer.
Colin Rusch: Thanks so much, guys, and congratulations on all the progress. So with this new partner, I know you're going to be sharing details over time, but can you talk a little bit about which incremental target markets you may be able to address with this partner as part of your manufacturing process?
Soroush Salehian: Hey, Colin. Yes, happy to answer that. So first of all, we're very excited about this partnership and the strategic partner we announced earlier. As you mentioned, the anchor has drive, but I can tell you at a high-level, this is a very critical and I think crucial partnership that we're forming. I think our target clearly is here is not just to continue delivering, let's say on our automotive only products. This is not the only piece. It's actually to expand into new markets. This includes the consumer market application, which this partner has considerable experience in. This includes working on joint products across that and for new markets, especially also accelerating in the industrial applications. And then on top of that, we are also working with this partner given their existing experience, they're a well-known automotive tier qualified partner in the space, they're already a Tier 2 in the space. So -- and they have a number of relationships with key OEMs, including with the top 10 passenger OEM that we announced earlier. So we have also decided as part of this to select them and partner with them as our Tier 2 manufacturing partner for the top 10 passenger OEM program, which gives us that even added vote of confidence in our position in the automotive space with that top 10 passenger OEM. But also, I think what we're really excited about is the opportunities with their scale. They're part of a global 500 Fortune -- Fortune 500 company. And we are excited to leverage that scale to take us into the next chapter with those other applications. So obviously, that is also strengthened by their commitments, which is real and in the form of strategic investment into the company to $250 million. So we are excited to kick this off together.
Colin Rusch: Amazing. And then the second question is really around relationship with SICK. Pretty substantial opportunity just not only with them, but with metrology and other industrial sensors. I guess how are you thinking about that relationship starting to evolve considering the range of products that they offer and kind of the foundational technology that you guys could bring to that platform?
Soroush Salehian: Yes, absolutely. Look, I think, as you can see, we are also very excited about that. I think this is I would say, this area and this market, especially for Aeva, I think is one that I think can be easily overlooked. I think this is an opportunity in a market that is massive. We are talking here about 2 million units per year just for high precision sensors. And it's kind of a consolidated market with some of the key leaders in the space. So it's a market that's here and now. And as you mentioned, with SICK, for example, we have a long standing strategic partnership. They're one of our first strategic customers in the space. They are a great partner for us to bring this technology to market, one that we see is going to be disruptive in the space. And one that SICK is really invested and committed to making happen. So SICK by itself by themselves do about close to 15% of this market share they own, they close to 300,000 units. So that is something that is quite significant. And we see the opportunity that over time to transition across -- maybe a significant portion, if not majority of the portion of that portfolio to FMCW based technology, we should also tell you the confidence that I think SICK has also in FMCW. So that's I think is important. We -- look, we have been talking about the flexibility and performance capability of our platform, our perception platform for quite some time. And now Aeva has been delivering on that, working from Atlas to Atlas Ultra then to this Eve 1 precision sensors. We now have a platform that same exact core vision chip module with our proprietary precision algorithms can achieve sub-micron precision, which is something that is precision which is something that's really powerful. But in a way that is small, definitely lower in cost and more repeatable. So that allows, I think folks like SICK and others to then implement this and move on. So from in this short period of time, we announced Eve 1, we are now actually have since then, past few weeks, recently announced two strategic partners SICK as well as LMI Technologies, which is another player in the space, especially including the 3D sensing space. And we have also booked our first over 1,000 units orders just in this past few short weeks. So that's, I think, already is giving us a lot of strong signals and traction and momentum in the market. And on top of that, we've already started delivering the first unit. So we expect that this trend to continue. We see that this 1,000 units going to transition to tens of thousands units in the near-term. And then from there, we hope to expand them to 100,000. And we think that by itself is considerable. Just to give you a rough idea of the size of the market in terms of annual revenues is about $4 billion from here -- $4 billion annually going to $6 billion. And just taking a small percentage of that we think is going to be very key and crucial for our company.
Colin Rusch: Great. Thank you so much, you guys.
Operator: We will go next to Joe Moore with Morgan Stanley.
Joseph Moore: Yes. I also wanted to ask about the laser displacement sensor opportunity. How long does it take you to ramp new customers? You've been working with SICK for a number of years now and [indiscernible] and other industrial companies. Like, as you proliferate the technology, is there going to be a shorter lead time to bring on new customers and just give us a sense for how quickly this market can evolve for you?
Soroush Salehian: Yes, absolutely. I think it's -- I would say it's the usual way, right? The first one is it takes time and from there, we also work with that to define the key product and that's what we have been doing with SICK as our strategic partner, which has been a fantastic relationship. And from there, for example, working with LMI has been a much, much shorter timeframe. And we have other engagements in the pipeline that we see in there. As I mentioned, handful of players in the space make about 2 million sensors per year and SICK by themselves represent 15%. So others also represent in significant chunks and we have quite a bit of interest, as you can imagine in the space already for this. So we don't expect that each new engagement is going be in a matter of years from here, we think it's much shorter than that, hopefully in a matter of months. And most importantly, now that we have a product that we are planning on scaling throughout this year, with these first 1,000 plus units, we are already seeing additional orders coming in. And as a response to that, we're actually building up and ramping up our manufacturing capacity to build that up for this market. And I think, of course, separately, the strategic investment and what we talked about with our partner there is going to be helpful overall for us as we manufacture -- install our manufacturing capacity. So that's what I would say for this. I just want to add something on the manufacturing capacity side. We set the goal earlier at the beginning of the year, which was I guess, just a month or two ago, as a target to install a manufacturing capacity of 100,000 units per year. And the team is executing on this, that's coming along very nicely with the first kind of piece of equipment on the line and that being brought up. So we are on track for that. And we have now more confidence and more kind of fire in the cylinder to be able to go build that up, given this momentum in this industrial automation space.
Operator: Great. Thank you.
Operator: We will go next to George Gianarikas at Canaccord Genuity.
George Gianarikas: Hi, everyone. Thank you for taking my questions. Can you maybe talk about a little bit of potential momentum you have with other passenger OEMs in addition to LOI you signed very recently, any continued conversations there you can describe? Thank you.
Soroush Salehian: Yes, George, happy to answer that. So obviously, it's important to highlight that we are -- our vision from the beginning has been perception for everything. We are building a platform across multiple applications, we are delivering on that vision, we have now a strong kind of strong traction with an automotive starting with Daimler Truck. I comment on that a little bit, that is a global production program that's been ongoing for well over a year and a half or so. And we are, in a $1 billion program opportunity for us as we go forward, we are delivering on track across the milestones there. And part of that [indiscernible] on the capacity is also, of course, important for the Daimler Truck production program. So the team has been really delivering well and we're seeing our products on the road with the Daimler Truck and torque vehicles actually operating on the road. So that's very helpful. And separately from that, on the -- you mentioned the top 10 passenger OEM, we've already kicked off the development program, we've kicked off the development phase and achieved actually the very first milestones in this past month and a half or so. So that's very encouraging and everything has gone on track for us to be able to transition this program later on to the production phase. But this is not everything. Beyond that, we have a number of other engagements across both commercial vehicles where we see significant value. We are seeing some of the folks are working with, let's say, others in time of flight space, looking to transition to FMCW for long range commercial vehicle space, obviously, given our relationship with Daimler and our experience, they're qualifying a product for the trucking space, which is no easy feat. This is something that we are investing in and we see good opportunities there across multiple programs. But we're also engaged in other top passenger OEMs, other OEM RFQs that have also advanced what we believe we are kind of converging on towards some decisions. So there is a number of opportunities, including really reputable top OEMs across both passenger and commercial vehicles. They're not only limited to full autonomy stack, there are also some ADAS programs in there, which is quite interesting, especially given the size of the volumes. So overall, I think the opportunity ahead of us is quite massive. And I think we're going to be hopefully in a position to be able to select where we're headed, and focus on the right programs that align strategically with our business objectives, as well as our kind of key focus across the markets.
George Gianarikas: Thank you. And maybe as a follow-up, you mentioned that you're increasing the guidance to 80% to 100% growth, I think. Can you just maybe describe again, where that strength is coming from that led you to that increase? Thank you.
Saurabh Sinha: Yes, George, I'm happy to take that question. This is Saurabh. So, yes, I mean, we have, as you are seeing that we are having increased momentum both on industrial as well as automotive markets. And this added upping the guidance is coming from primarily the product revenue piece. And as I mentioned in my prepared remarks, we had a record product revenue this quarter, and we are super excited as we execute on this. Keep in mind, this guidance does not bake into the strategic collaboration we announced earlier in the day. That we will discuss more at the Aeva Day on July 31 in New York City.
George Gianarikas: Thank you.
Operator: We will go next to Richard Shannon with Craig Hallum.
Tyler Anderson: Hi. This is Tyler on for Richard Shannon. I was wondering, when you're talking about increasing the volumes in the industrial market by 10x and calendar '25, how do we think about the revenue contribution with that? And are the gross margins here better than the corporate average?
Soroush Salehian: Yes. Hey, Tyler, this is Soroush. Happy to take on that. Of course, yes, Saurabh, can add. So to answer your question, first of all, the growth from there is coming actually from key customers that we talked about, obviously, since we made the analysis of these one, as I mentioned, we have now signed on to strategic customers with over 1,000 units. So if you look at from a maybe revenue, Saurabh, can comment on that, but generally, these are not insignificant. So we're talking about in the millions of dollars in terms of contributions here already. And if you think about this market and opportunities, what I can tell you generally, ASPs for these types of sensors and the demand given the performance is actually quite considerable in the thousands of dollars, not something that is as small as let's say, a mass market automotive ASP. So that I think given both the strength in the volumes opportunity, it's hundreds of thousands of units, as well as the ASPs that are being in the thousands of unit -- thousands of dollars per unit, we think is something that's quite important and interesting for us to contribute [ph]. Anything you want to add?
Saurabh Sinha: Yes, I think the only thing I will add, we are making continuous improvement in our cost to manufacture products, and as we scale, we expect to start having healthy margins, and until then, gross margins may fluctuate in the near-term.
Tyler Anderson: Awesome. That makes sense. And then over what time do you expect to finish the manufacturing capacity ramp?
Soroush Salehian: You mean the installation of the manufacturing capacity?
Tyler Anderson: Yes. So you had said you were installing a machine and getting everything going for that.
Soroush Salehian: Yes. Yes. So this is -- this year, right? This is our goal is clear this year to install manufacturing capacity of about 100,000 units and the team is working on that. We're moving on track to that. So -- which is important for us, as I mentioned earlier, going from just by the way, just for this kind of laser displacement precision sensing market, 1,000 units to tens of thousands of units. And then from their 1,000 units, we need this kind of capacity and we need it soon. So that's where the team is focused on. So -- and this does not include, of course, some of the -- all the programs we talked about in the automotive side, so.
Tyler Anderson: Awesome. Thanks for taking my questions.
Operator: We will move next to Suji Desilva with ROTH Capital.
Suji Desilva: Hi, Soroush. Hi, Saurabh. Congrats on the progress here. Can you just recap for us, Soroush, the remaining milestones for the global top 10 passenger OEM now that you've achieved this key milestone?
Soroush Salehian: Yes, Suji, happy to do that. So look, I think that's a good question. Overall, it is very important that the work that we've been doing is understood very clearly, right? So first of all, we kicked out the program, we have achieved the first milestones around vehicle innovation. And from here, our work involves a number of activities around packaging, and making sure the design of our sensor from a packaging standpoint fits across the OEMs global production platform for their multiple vehicle model lines, right? So that's important. So obviously, each vehicle may have different trims [ph] or different integration studies to make that happen. But it's important to know that doesn't mean that we're customizing our product for every single one of these. It's just more of an integration activity to make sure that the same product fits nicely and according to all the specs to that. So and that is very clear, it has to work to be done between now and later this year. So we are not relying on some sort of major innovation or some major kind of sample releases or something like that to get there. And which also why is why it gives us that added confidence as we continue to execute with this OEM. And importantly, as mentioned, we're -- we have this also production letter of intent, which is a key word of confidence and how the OEM sees and plans to partner with us as we transition from the development phase to the production phase. And lastly, as I mentioned, now that we have this strategic Fortune 500 company on board with us, as our partner, both their strong commitments, their strong capability, large balance sheet, their massive resources, working alongside us as our Tier 2 manufacturing partner, having that existing relationship with the top 10 passenger OEM, being a well known player in the space, all of that is I think, was a strategic move that we have made to also ensure that we have a very clear and good path to closing this program out.
Suji Desilva: Okay. It just sounds like reading between the lines of what you just said, Soroush, that the one of the reasons this OEM chose you is because of the flexibility and how relatively smooth this multivehicle fitting will go because of the FMCW and technology and your flexible design versus probably time-of-flight, which might be a little more tricky for each of the vehicles. Is that a fair statement?
Soroush Salehian: Yes. Yes, absolutely. And I can tell you as a matter of fact, we are already discussing with this OEM and others, and especially with this OEM around how we can work together not just for this, initial generation, this first generation of production platform across these multi model lines, but how we can work together around new perception sensor products across future model lines across future generations, which would have even larger program volume opportunities as we go along. So having that conversation and having those engagements also, I think is something that's pretty important for us and is something that we are excited to be having.
Suji Desilva: And actually, that was my last question. In the Fortune 500 announcement, you do mention next gen perception sensing products. I think you hinted at it there. Maybe can you give us some ways to think about what that means in terms of roadmap versus the LiDAR product you've had?
Soroush Salehian: Yes, absolutely. So, as part of this investment from this Fortune 500 company, it's in kind of few different areas. One is equity stake into the company, about 6%, as we mentioned on the press release and earlier. The other piece is collaborating together around joint new product development, new product development revenue, where we expect for Eva to bring new products into new markets, including in the industrial market, as well as working together around enabling able to enter new markets such as consumer, which I mentioned earlier. So that's what I can share at this point. And then lastly, obviously working together also around manufacturing as a Tier 2 partner for this top 10 OEM. So it's multiple levels. And which is why it's a strategic collaboration. So -- but I think overall, we think this is also showcases how a kind of well-known partner in the space who has been really one of the leaders and of course, technology sensors manufacturing, been looking at a number of players across the space and after evaluating pretty much everybody, including other LiDAR sensor makers decided to partner with us with a strong commitment. So, we think all of that is positive, of course, for Aeva, but we think also is positive development for the industry as investments are happening in the space.
Operator: It appears that we have no further questions at this time. This will conclude Aeva Technologies first quarter 2025 earnings conference call. We thank you for your participation. You may disconnect at any time.